Operator: Thank you for standing by. This is the conference operator. Welcome to the Third Quarter 2025 Results Conference Call and Webcast for Canadian Utilities Limited. [Operator Instructions] The conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Mr. Colin Jackson, Senior Vice President, Financial Operations. Please go ahead, Mr. Jackson.
Colin Jackson: Thank you, and good morning, everyone. We are pleased you could join us for Canadian Utilities Third Quarter 2025 Conference Call. On the line today, we have Bob Myles, Chief Executive Officer of Canadian Utilities Limited; and Katie Patrick, Executive Vice President, Chief Financial and Investment Officer. . Before we move into today's remarks, I would like to take a moment to acknowledge the numerous traditional territories and home lands on which our global facilities are located. Today, I am speaking to you from our ATCO Park head office in Calgary which is located in the Treaty 7 region. This is the ancestral territory of the Blackfoot Confederacy comprised of the Siksika, the Kainai and the Piikani Nations, the Tsuut'ina Nation and the Stoney Nakoda Nations, which includes the Chiniki, Bearspaw and Goodstoney First Nations. I also want to recognize that the city of Calgary is home to the Metis Nation of Alberta, Districts 5 and 6. During the quarter, employees across Canada recognized the National Day for truth and reconciliation by walking together to honor indigenous communities and their experiences. May we continue to reflect, learn and respect the diverse history, languages, ceremonies and cultures of indigenous peoples as we move forward towards understanding healing and reconciliation. Today's remarks will include forward-looking statements that are subject to important risks and uncertainties. For more information on these risks and uncertainties, please refer to our filings with the Canadian securities regulators. During today's presentation, we may refer to certain non-GAAP and other financial measures, including adjusted earnings, adjusted earnings per share and capital investment. These measures do not have any standardized meaning under IFRS, and as a result, they may not be comparable to similar measures presented by other entities. Please refer to our filings with the Canadian security regulators for further information. And now I'll turn the call over to Bob Myles for his opening remarks.
Robert Myles: Thanks, Colin. Good morning, everyone. I want to begin by highlighting 3 key pillars of our long-term strategy. growth and prosperity. This includes our robust project pipeline and our policy and regulatory partnerships. Operational excellence, which includes modernizing our operating model with safety and reliability at the forefront and financial leadership, which touches on our funding strategy and financial performance. . Moving to our first pillar, growth and prosperity. Foundational to our growth at Canadian Utilities are the economic drivers we are seeing in the province of Alberta. Alberta continues to lead population growth in Canada and in Q3 2025, Alberta's population reached 5 million people, up 2.5% year-over-year. Canadian Utilities plays an essential role in enabling this population growth. In 2025, we are on track to connect over 19,000 customers in ATCO Energy Systems, particularly in our Alberta gas business, in line with the strong growth we delivered in 2024, which saw our highest number of customer connections in almost a decade. When we look at the projects driving our growth and prosperity pillar, I want to begin with our Central East Transfer-Out project or CETO. At a high level, this $280 million project assigned by the Alberta Electric System Operator upgrades and strengthens the transmission system in Central East Alberta. Alberta's electric transmission system has experienced ongoing congestion challenges affecting the reliability of the grid, the market efficiency and the integration of new energy sources. In response, CETO was developed to directly address these constraints. CETO is a critical energy infrastructure investment, representing meaningful progress for Alberta's electric system by enhancing the efficiency of how power flows across the electric grid, CETO makes it easier to deliver energy to where it is needed most, like major demand centers in Calgary, Edmonton and Northern regions. CETO is deep into construction and remains on track to be completed in the first year -- first half of next year. The project will have a significant benefit to our customers across the province modernizing and enhancing the reliability of the transmission system. Beyond CETO, we believe further opportunities exist to improve congestion. An example is the McNeill converter station, currently the only intertie point between Alberta and Saskatchewan, as shown on this slide. The McNeill station recently underwent repairs and is being evaluated for a capacity upgrade. Once complete, this upgrade will enable more generation to flow between Alberta and Saskatchewan, representing the next step in addressing regional congestion. Moving to natural gas. Our assets are strategically positioned in areas that allow us to capitalize on the spectrum of energy opportunities being delivered. On the map, you can see our 3 gas storage assets are well positioned near natural gas production zones, major project infrastructure as well as locations associated with the planned data center developments and links to LNG development. Our Yellowhead pipeline project that I have discussed previously is a required addition to the natural gas network in Alberta and it will be a key conduit to connecting supply to demand growth. Yellowhead creates a new direct corridor from the Northwest Alberta supply region to the Greater Edmonton area, debottlenecking constrained segments and reducing reliance on longer, more complex flow paths. This relieves pressure on the entire Alberta integrated system improves delivery reliability for all types of customers across the province and frees up capacity for not only residential demand, but industrial, power generation and commercial growth making it a foundational investment in Alberta's energy future. Overall, it is evident that natural gas is needed more than ever in Alberta, and we remain in a very strong position to capitalize on the growth opportunities within the province. There have been positive developments on our Yellowhead pipeline project during this past quarter. We are pleased to announce the approval of the needs application from the Alberta Utilities Commission, or AUC, I'm also excited to announce that we filed the facilities application with the AUC earlier this week, which will provide detailed technical, environmental and consultation data required for construction approval. The filing of the facilities application is a key milestone in the regulatory process and demonstrates that we have completed sufficient consultation with communities, environmental studies and engineering to permit the construction of the project. The Yellowhead pipeline project remains 90% contracted and will deliver long-term economic benefits while strengthening the provinces natural gas network. In the third quarter, 2 additional service offerings to the market were undertaken. We expect that some or all of the remaining capacity provided by Yellowhead will be contracted through these offerings. While we waited on final regulatory approvals, we have successfully awarded major equipment contracts for the compressor facility. In the fourth quarter, we will place major contracts for the supply of steel pipe. Ordering these long-lead materials is prudent to preserve our in-service date and avoid cost escalations and supply chain delays. As you can see on this slide, the Yellowhead pipeline runs through Treaty 6 territory in Alberta, which is why we continue to pursue partnership arrangements with indigenous partners, First Nations and Metis. Early meaningful and continuous economic indigenous participation in infrastructure projects on traditional land is essential for development, reconciliation and long-term project success including the Yellowhead Pipeline project. An integral part of our nonregulated growth at Canadian Utilities is from our natural gas storage operations. We've had a strong year in natural gas storage with increases in seasonal spreads, driving strong customer demand for our facilities. We have successfully optimized our storage facilities by contracting through staggered contract maturities over the coming years. The plans I have previously discussed to expand our existing storage capacity from 117 petajoules to date to 130 peta joules in late 2026 positions us for continued growth and financial performance in the years to come. As we look at the future of storage and the broader market trends, a number of fundamentals are driving the demand for gas storage. Storage capacity growth across North America has slowed to less than 1% annually since 2016. While gas demand across North America continues to increase driven by industrial demand, LNG demand and new power generation accelerated by the build-out of data centers. As a leader in natural gas storage, we have the technology, the infrastructure, customer base and experience to execute and build out additional storage capacity. Beyond the brownfield expansion that we have already identified, we continue to explore strategic opportunities for additional growth in storage capacity, both within Alberta and the broader North American market. Similar to the opportunities ahead of us in Alberta, our ATCO Australia businesses, which is a provider of regulated natural gas distribution services in Western Australia and a developer and owner of gas-fired generation is also well positioned given Australia's evolving energy landscape. The developing regulations, government emissions reduction targets and associated investment incentives present ATCO Australia with opportunities which the business is well positioned to pursue. Our gas utility business in Australia has developed a strong -- delivered a strong 2025, and we expect this growth to continue into the years ahead. as the Australian government remains focused on enabling the development of new infrastructure to meet increasing population growth. In response to this, we continue to focus our new customer connections. Under our new access arrangement, AA6, our 5-year plan sees us growing by approximately 80,000 new connections as customer sentiment towards gas continues to be positive in Western Australia. This amounts to a 27% increase in expected customers compared to our previous access arrangement. For the 5-year AA6 period, we're operating under a higher return on equity of 8.23% driving consistent earnings for Canadian Utilities. Our second pillar, operational excellence, is anchored on safety, reliability and operational outperformance. Safety is a key element linked to our long-term growth by continuing to foster a strong safety culture. We ensure that operational efficiency and reliability are achieved without compromise. Safety across Canadian Utilities requires collaboration and a continued focus on our commitments. We must learn from incidents, promote safety initiatives and champion workplace safety across the business. From an outperformance perspective, our utilities are known for their ability to drive operational efficiencies. In 2024, our Australia utility delivered over 550 basis points of outperformance above the regulated ROE, while our utilities in Canada drove almost 100 basis points of outperformance above the regulated ROE. As we move ahead, we will share our learnings across all businesses like Canadian Utilities with a focus on driving further efficiencies across IT, supply chain and administrative costs. I look forward to sharing further updates on this over the upcoming year. Our third pillar is financial leadership. And with that, I'll pass the call to Katie to discuss this in further detail.
Katie Patrick: Thanks, Bob, and good morning, everyone. And can I say what a great quarter we had, but I'll start with our external funding. I want to provide an update on our successful financing we executed in the third quarter. On September 8, Canadian Utilities Limited announced a $750 million transaction of hybrid notes at a fixed rate of 5.45%. And on September 11, CU Inc. announced a $370 million transaction of debentures at a rate of 4.787%. I am proud to say that these offerings had significant interest from the investment community at approximately we're 3x oversubscribed across a strong pool of buyers. This confirms that there is sufficient investor demand to satisfy the funding requirements for the total investment in Yellowhead, which will be funded according to the regulated capital structure of 63% regulated debt and 37% regulated equity. We continue to pursue partnership arrangements with indigenous partners that may contribute up to 30%. The remaining investment of approximately $750 million will be funded through Canadian utilities with gross -- with proceeds coming from diverse capital sources, including the $500 million from the September 2025 fixed to fixed rate subordinated notes, cash from operations and other future potential issuances of hybrids or preferred shares. I look forward to updating you very shortly on this. As with all our capital decisions, we will review all options and choose what is in the best interest of shareowner value creation. Looking at our third quarter performance for Canadian Utilities as a whole, we delivered positive earnings growth year-over-year. We achieved adjusted earnings of $108 million or $0.40 per share up from $102 million for the same period in 2024. This was despite headwinds, including a reduction in their approved ROE for our Alberta utilities and the conclusion of the efficiency carryover mechanism or ECM. Our strong performance was driven by growth across all of our core businesses. ATCO Energy Systems delivered adjusted earnings of $98 million in the quarter, $4 million higher year-over-year. Despite $6 million of headwinds from the reset in our approved ROE and the conclusion of the ECM for our distribution utilities. We still deliver growth within Energy Systems. While ATCO Energy Systems has seen an increased earnings year-over-year. We expect to face headwinds in the upcoming quarter as we will not have the same tax efficiencies that we achieved in Q4 of 2024. ATCO EnPower delivered adjusted earnings of $16 million, up $2 million year-over-year. In the Storage and Industrial Water segment, we continue to deliver growing earnings. As Bob mentioned earlier on the call, we plan to grow the storage business and capitalize on brownfield expansion opportunities. In electricity generation, adjusted earnings were up for the quarter driven by higher compensation related to turbine availability guarantees at our Forty Mile wind facility and higher generation at the Veracruz Hydro facility in Mexico. ATCO Australia delivered adjusted earnings of $27 million during the quarter. This is $12 million or 80% higher than the same period last year. As Bob noted earlier, we continue to see momentum within our ATCO Gas Australia business with earnings growth driven by higher rates and outperformance. This accounted for the majority of the improvement. At ATCO Power Australia, higher earnings were primarily due to the settlement of the South Australian Hydrogen jobs plan project. From a cash flow perspective, our cash from operating activities increased 12% compared to the same period last year. The cash we generate will be used in combination with the external funding I previously discussed to fund our enhanced capital program that will generate future earnings growth. Overall, we remain in a strong financial position as we round out the last quarter of 2025 and head into 2026. We continue to remain focused on finding efficiencies across the organization, including supply chain improvements, repatriating some IT operations internally and consolidating senior levels of leadership, all while executing on our strategy to generate long-term value for all stakeholders, including our shareowners. I will now turn the call back to Bob for closing remarks.
Robert Myles: Thanks, Katie. It's evident from this quarter that we've seen strong momentum across our businesses when we work together as one organization. To reiterate, our 3 pillars guiding our future include growth and prosperity, operational excellence and financial leadership. It's an exciting time at Canadian Utilities. The environment in which we operate continue to have positive tailwinds, including Alberta, where we are positioned to benefit from the province's focus on natural resources and economic growth. Our unique position as an operator of utilities, storage and generation assets positions us to capitalize on the opportunities ahead of us and to be a key provider for all of our current and future customers. . I look forward to leading us through this period of growth, and we'll share our progress on our initiatives throughout 2026. That concludes our prepared remarks. I'll turn the call back to Colin for our question period.
Colin Jackson: [Operator Instructions] I will now turn it back to the conference coordinator for questions.
Operator: [Operator Instructions] The first question comes from Rob Hope with Scotiabank.
Robert Hope: Hoping we can dive a little bit deeper into ATCO Gas Australia or even the Australian business in aggregate. Year-to-date, you're up 42% and the ATCO Gas under AA6 has been quite strong. So can you maybe help us understand kind of the key drivers of the strong growth with the outlook for Q4 and whether or not you would get back to a more normal kind of growth rate in '26 and '27?
Katie Patrick: Sure. Rob, it's Katie. We're really happy with the AA6 parameters that were set out. And you can see a lot of our strong earnings growth there. That being said, there were some onetime items that we had this year that we would not repeat next year, including the settlement on the South Australia hydrogen jobs plan as well as some cleanup of a previous project that we are working on Central West Pumped Hydro. But all that said, we do expect the continued strong growth that we had in the outperformance that you can see specific to ATCO Gas Australia. Those 2 onetime items that I'm talking about mostly show up in the ATCO Power part of the segment. So I think we continue to have headwinds behind us there. We also do benefit from the inflation indexing, and we're watching that closely, but I think that could help in the future a little bit as well going forward on some of our earnings there in Australia.
Robert Myles: Rob, if I could just add, I also think there's some great opportunities to look for efficiencies across our operations in Australia as we align across Canadian utilities. So I do think there's some great potential for Australia.
Robert Hope: All right. I appreciate that. And then maybe more broadly, looking at the electric transmission opportunities in Alberta. You have a potential for a significant increase in load in the province. However, the system operator is trying to minimize transmission investment. How does that kind of balance for the growth outlook for that business?
Robert Myles: Yes, Rob, I really enjoy talking about that topic because we do think there's some great opportunities for electric transmission build in the province. We do have to consider that as we look at affordability across this province as it impacts the consumer. But in the capital forecast that we've been giving, we don't have capital in there for things like interties, and we do think there's some great opportunity with interties. But the projects that are in our service territory, we think we're well positioned to capitalize on those. And much of the growth is actually in our service territory. So we do see there's some great potential there. .
Operator: The next question comes from Maurice Choy with RBC Capital Markets.
Maurice Choy: I just want to come back to Slide 17 about the funding of the Yellowhead pipeline. Can I just ask how advanced you are in terms of securing the 30% investment with indigenous partners. And if you could help break down that $261 million of remaining funding a little bit more, what drivers are there to determine how much from cash from operations and how much from, I suppose, equity raises?
Robert Myles: Maurice, thanks. I'll comment on the indigenous kind of status and then let Katie comment on the rest of your question. I personally have had a lot of conversations with the indigenous communities. I'm very optimistic that we will have that in place. It takes a little bit of time, but we've had really good conversations. And we, as an organization, are very committed to making that happen. And I know the conversations I've had with those indigenous communities, we're also getting a lot of support from their side as well. So I'm pretty confident in that. .
Katie Patrick: And Maurice, to your second question related to the $261 million. I would just say stay tuned, but we don't -- just to be quite clear, we don't anticipate having to access the public equity markets for that amount of money. And I think there's a depth in other capital areas, in some of the hybrid preferreds in some of those markets to be able to fulfill that need shortly.
Maurice Choy: Understood. That's great color. And if I could just look into your discussion about, I guess, hydrogen. Not a whole lot of mention here, but I suppose if we look at the Canadian budget and you look at the major projects office, how do you feel about your projects? Were there any takeaways from the budget or even from the initial list of comments from MPO that you think would be positive takeaways to facilitate your H3 ambition?
Robert Myles: Maurice, we've spent a lot of time, as you know, working with the federal government on our project that we are pursuing, ammonia by rail based on hydrogen development. And there are some encouraging things that are in the budget, but we do not have a lot of capital put in our plan for the hydrogen project, because we just don't have the full confidence that that's going to develop. We're continuing to do some work on it, but we need to see more definitive signs from the federal government that they'll support the project. And specifically, we need to see more certainty across Canada for the project. So -- we're still having conversations, but it's not -- it's definitely not one of our key opportunities right now. .
Operator: Next question comes from John Mould with TD Cowen.
John Mould: Thanks for that Yellowhead financing slide that really helps lay things out. I guess -- on the nonregulated side, beyond the storage opportunity that you discussed earlier, where do you feel like you've got the best line of sight or best potential on possible regulated investments over the midterm -- excuse me, possible investments over the midterm outside of the regulated platform.
Robert Myles: John, again, Bob here. We do -- first of all, I don't want to dismiss the gas storage because I think there's such great opportunities in gas storage. But in addition to that, we do see some opportunities in generation, but primarily in gas-fired generation, not in really going out and building a lot more renewables. We do think there's pockets of electric storage. In other words, batteries that we can pursue. And then And when I say gas-fired generation, I'm saying both in Alberta and in Australia, we think there's opportunities there in the near term.
John Mould: Okay. And then just speaking about generation more broadly in the province of Alberta, can you maybe speak a little bit to your engagement on -- and I know it's an ongoing process, but your engagement on the market design reforms there. And also on the transmission side, what you're hoping to see -- sorry, I should say the transmission regulation side as it applies to generation. And what you're hoping to see as an owner of generation in the province and as a potential investor in incremental generation in the province, be that gas-fired or renewables down the road.
Robert Myles: And John, you're correct. They are 2 different things. The impact on generation versus the impact on electric transmission as we said earlier, we think there's some great opportunities in the province for electric transmission. On the generation side, it is being impacted and will be impacted by the long-term plan with the restructured energy market, as we've discussed previously. We're also having a lot of conversations with the government as we speak around the 0 congestion policy that was tied to the transmission regulation changes over the last couple of years. The conversation to the government are encouraging that they recognize the impacts that changing the 0 congestion policy has on generation. So we're continuing to work that. I am optimistic that we'll actually get something from the government to give us more confidence on where we're going with generation. But as a province and as an investor, we do need to get more confidence in the province as to what's going to happen with the rules uncertainty before much more generation is built in this province.
Operator: Our next question comes from Ben Pham with BMO.
Benjamin Pham: I had a couple of questions on the gas storage commentary you had. Maybe just to start in Alberta. Isn't it better to leave an open book into a rising contract price in Alberta, given what LNG export thematic is playing out?
Robert Myles: Are you saying, Ben, just keep it all merchant. I'm trying to -- sorry, I'm trying to understand your question.
Benjamin Pham: Yes. I was wondering your philosophy around you've locked in contracts is what you said and extensions in a rate that's probably about $1 or so. And why not just wait a while, a year or 2 and capitalize on potentially a rise in movement in the storage rates. So I'm not saying keep it all merchant, but just thinking about you philosophy between weighing those 2 differences.
Robert Myles: Yes. Ben, I'm a huge believer in a balanced approach. So if you look at our gas storage, we have a balance of contracting out part of our storage to customers. So they have access to that storage based upon what they want to do. We also do a lot of seasonal deals with our customers, which is a different type of service. And then the third service is doing a lot of day-to-day service, which is probably more what you're talking about is looking at more of that merchant market. So we actually do some of that. But we do like to lock in our deals, and I think we've been very successful on that. So I do feel like we need to have a balanced approach, not all of just one scenario or the other.
Benjamin Pham: Okay. Got it. And then you also mentioned looking at other regions, maybe acquisitions or development. Is there a particular region that looks very interesting to see you at this point of time, we've seen some announcements in the Gulf Coast today from another company.
Robert Myles: I'm assuming you're still talking about gas storage, Ben?
Benjamin Pham: Yes, that's right.
Robert Myles: Yes. And I actually believe across North America, there's opportunities for gas storage. And so we are evaluating opportunities, again, across the North America gas storage environment. So I would agree with you on that.
Benjamin Pham: Okay. So it's pretty broad to look out right now? .
Robert Myles: Yes, yes.
Benjamin Pham: Okay. And maybe lastly, I just wanted to check on Yellowhead with the CapEx. You had a couple of details there. A couple of years ago, you had an initial figure, you updated on scope. What stage are you at right now? I don't know if you use an engineering hat on it in terms of really your confidence in that CapEx numbers, just looking at past projects where they've hit the needs and then you go into the next phase.
Robert Myles: Yes. We keep updating our capital forecast on that, and we're down to a Class 3 kind of plus or minus 20% estimate currently. As of today, we're looking at $2.9 billion is kind of what we're -- we've informed the Alberta Utilities Commission as to the cost of that. As we progress with long lead materials, we can lock in more of the supply chain side of it. And then in 2026, we'll be going to the market for contracting pricing. So we'll get better confidence as time moves on. Obviously, the risk with building that pipeline in addition to supply chain and contractors is always weather. And that's something that we have to do the best we can to manage that. .
Operator: Since there are no more questions, this concludes the question-and-answer session. I would like to turn the conference back over to Mr. Colin Jackson for any closing remarks. Please go ahead.
Colin Jackson: Thank you, and thank you all for participating today. We appreciate your interest in Canadian Utilities and we look forward to speaking with you again soon.
Operator: This brings to a close today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.